Operator: Thank you for participating in the Investor Meeting for 2024 Full Year Results at Japan Tobacco Inc. today despite of your busy schedule. Since it is the scheduled time, allow us to get started. Before we start the meeting, I'd like to ask you to make sure that your display name on the Zoom is accurate. Thank you for your cooperation. In today’s meeting, Masamichi Terabatake, Chief Executive Officer of the JT Group will introduce you with the Business Plan 2025; and Eddy Pirard, CEO of JT International will follow with Tobacco business 2024 result and 2025 forecast. Lastly, Hiromasa Furukawa, Chief Financial Officer of the JT Group will explain JT Group 2024 results and 2025 forecast. Then we move on to Q&A session, and this meeting is scheduled to end at 6.15 p.m. Now I would like to introduce you the first presenter, Mr. Terabatake, please.
Masamichi Terabatake : I am Masamichi Terabatake, President and CEO of Japan Tobacco Inc. Thank you for joining our conference call today. I would also like to thank you for your continued support and understanding of our commitment to growth. Today, I will provide an overview of the fiscal year 2024, our medium to long term business strategies, and the profit growth prospects we expect to achieve during Business Plan 2025, as well as an update on our sustainability efforts. Eddy Pirard, CEO of JTI will highlight the solid performance of JT Group’s profit growth engine, and Hiromasa Furukawa, CFO of JT Group will explain our consolidated results for 2024 and the forecast for 2025. Let me begin with an overview of fiscal year 2024. Our consolidated adjusted operating profit, AOP at constant FX significantly exceeded both the initial plan and the previous year's results, achieving continuous growth. We also achieved record high revenue and AOP on a reported basis. At the same time, we have continued to make strategic and significant business investments to build the foundations for future profit growth. All this within a challenging business environment made of increased geopolitical risks, rising supply chain costs, and exchange rate fluctuations. Eddy will provide more details on the performance of the Tobacco business data. But I would like to emphasize our impressive performance in both Combustibles and RRP. In Combustibles, market share expanded across many markets, and pricing contributions continue to drive profit growth. In RRP, we have steadily invested to expand Ploom’s presence, bringing the number of markets where consumers can now enjoy Ploom to ’24, at the end of 2024. As a result, both RRP volume and RRP-related revenue grew 20% plus year-on-year. We also enhanced our footprint with the successful acquisition of Vector Group in the United States, and we are very excited by the future growth opportunities it will provide to the JT Group. Contribution was limited to only one quarter in 2024, but 2025 will see the full inclusion of this acquisition. In the Pharmaceutical business, the result was better than originally planned despite AOP declining year-on-year. On the other hand, the Processed Food business achieved a second consecutive year of record high AOP. Taking this performance into account, the annual dividend per share for 2024 is planned to be JPY 194 per share, as announced initially. Next, I will explain our Business Plan 2025, which covers the three-year period from 2025 to 2027. We will continue to allocate resources based on the 4S model and the JT Group Purpose. We will place the highest priority on business investments, especially in the Tobacco business, that would lead to sustainable profit growth over the medium to long term. I am confident these business investments will enable the JT Group to grow AOP at constant FX, subsequently driving medium and long term growth in net income. I would like to confirm that our approach to shareholder returns remains unchanged. We aim to maintain a dividend payout ratio of 75%, a competitive level in the capital market, and will continue to strive to increase shareholders' returns with dividends at the forefront. Turning to the positioning and strategies of each business during the period of the current business plan, starting with the Tobacco business. As you are all aware, the Tobacco operating environment remains highly uncertain with geopolitical instability and hyperinflation in some markets of our EMA cluster, changing macroeconomic trends as well as tightening regulations. Also, we need to adapt as quickly as possible to changing consumer needs, as society changes rapidly and significantly. Under these circumstances, we expect the Combustibles category to continue facing a declining industry volume and downtrading. In parallel, we believe the RRP industry volume will increase further and competition will intensify notably in Heated Tobacco Sticks. I am convinced that the strategic framework defined for our Tobacco business will overcome these challenges and will drive sustainable profit growth over the medium to long term. In Combustibles, we will continuously focus on improving return on investments through quality top-line growth based on pricing and market share expansion. We will also continue cost optimization initiatives to improve margins. In RRP, we will continue to place the highest investment priority on the HTS category, which is expected to grow the most and the fastest in the future with the aim of achieving our 2028 ambitions. Beyond HTS, we will continue to explore the business possibilities in areas such as E-Vapor and nicotine pouches and work to strengthen our existing presence. To support these efforts, we will also continue to strategically strengthen our business foundations, building on our consumer-centric approach. These investments will strengthen our presence, our capabilities, and importantly, our innovation pipeline across all segments. I have just mentioned our 2028 RRP ambitions, and I would like to take this opportunity to share a progress against these. One of our ambitions is to achieve mid-teen heated tobacco segment share by the end of 2028. Ploom has accelerated its dual expansion since 2023, and I am pleased to report that at the end of November, Ploom has reached a 7.8% share of segment across the 13 markets where it has been selling for at least 12 months. This represents an increase of more than three percentage points compared to the segment’s share two years ago. As I said earlier, competition in HTS is intensifying. However, Ploom's awareness among consumers has been steadily improving. And we will continue to build Ploom's presence, not only in each launched market, but also in new markets by leveraging insights and feedback from consumers. We will continue to strengthen our investments in RRP, especially in HTS during Business Plan 2025. Specifically, we plan to invest approximately JPY 650 billion over the three-year period, primarily for marketing activities, as well as to continuously enhance our product pipelines and innovations, some of which will be released during the current business plan period. Even with the intensified investments, we remain on track to achieve our other ambition, which is to reach break-even at the brand contribution level by the end of 2028. According to our assumptions, we expect the RRP business to improve its contribution to earnings in the current Business Plan thanks to the growth of RRP-related revenue. Next, I will explain the strategies of the Pharmaceutical and Processed Food businesses, as well as of D-LAB, our corporate R&D organization. I would like to reiterate that the roles of Pharmaceutical and Processed Food businesses will be to continue complementing GT Group's profit growth. The Pharmaceutical business continues to face a challenging environment due to increasing hurdles around new drug creation in the areas of unmet medical needs, especially related to diseases with large number of patients and the continuing downward trend in overseas royalty income from licensed compounds. Despite this, sales of Torii Pharmaceuticals in the area of skin disease and allergens are expanding, and we will continue to research and develop new generation strategic products and maximize the value of each product. In the Processed Food business, we are also facing headwinds such as increasing labor and distribution costs in Japan due to labor shortages, higher raw material cost driven by inflation and FX fluctuation, as well as heightened consumer price consciousness due to price hikes exceeding wage increases. We must also respond to diversifying customer needs and increasing social demand for a sustainable food supply. During Business Plan 2025, even though price consciousness is gaining traction, we aim to achieve top-line growth by implementing optimal price revisions and expanding sales of high added value products. Following the introduction of the JT Group's Purpose in 2023, we have received many positive feedback both internally and externally. We understand that our values of Fulfilling Moments, Enriching Life have been accepted and shared by stakeholders. We are confident that this is an important achievement that enhances our brand value and builds trust within society. As part of our efforts to materialize the Purpose, we are continuing our activities in D-LAB, which continues to conduct research and identify future businesses based on the concept of Fulfilling Moments, Enriching Life. D-LAB activities are aimed at contributing to develop Fulfilling Moments in society from a long-term perspective, as well as contributing to the profit growth of JT Group. In exploring future businesses, we have been investing in around 200 companies, mainly in Europe and the United States, that are embracing the concept of Fulfilling Moments, Enriching Life. To drive these initiatives, we have set up a dedicated venture capital fund to invest in startups. And we are constantly working on more than 100 projects. I would like to introduce some specific D-LAB initiatives. The breath-guided robotic cushion, fufuly, which won the CES 2023 Innovation Award, is based on joint research with the University of Tokyo with the aim to commercialize it. Another initiative is Cold Brew, a platform for high quality craft non-alcoholic cold beverages, which won the CES 2024 Innovation Award and is being developed with external partners. BREATHER, which was established to commercialize business ideas born from D-LAB activities, is manufacturing and selling deep breathing habit enhancing tools and is currently in the phase of delivering the value of Fulfilling Moments to customers. While staying close to the Fulfilling Moments of our customers and society, which is diverse and changing, we will look beyond the current form of the JT Group and will continue to realize the value of providing Fulfilling Moments on the long-term perspective through all kinds of corporate activities. Based on the strategies I have just described, I will now share our ambition for Business Plan 2025. Let me confirm that we firmly intend to pursue sustainable profit growth over the medium to long term. We will continue to aim for an average annual growth rate of mid to high single digit for consolidated AOP at constant currency. If you recall, last year we announced that we will be growing our AOP at constant FX by mid-single digit during the Three-Year Business Plan period from 2024 to 2026. I am pleased to announce that during the three-year period from 2025 to 2027, we expect an average annual growth rate of high-single digit, which is the upper end of our growth algorithm. In the Tobacco business, we expect to achieve high single-digit AOP growth at constant FX during Business Plan 2025, fueled by sustained pricing in Combustibles and the increasing contribution from RRP even as we strengthen investments. In the Pharmaceutical business, after an AOP decrease in 2025 due to a gradual decline in overseas royalty income and an increase in R&D expenses, accompanying progress in clinical trials, we expect to return to the profit level of FY 2024 by the end of Business Plan 2025. The Processed Food business is expected to achieve mid-single-digit AOP growth during the current business plan period driven by stable to plan growth offsetting higher costs in 2025. Finally, I would like to reiterate the value creation process that we explained in our integrated report, namely, our comprehensive approach on sustainable growth. We will continue to leverage our strengths cultivated from nature and society and provide Fulfilling Moments to society through not only our existing businesses, but also new businesses nurtured by D-LAB. Furthermore, we are committed to actively addressing the JT Group Materiality, the priority material issues for the group. This commitment is based on a belief that people's lives and corporate activities can only be sustainable if the natural environment and the society are sustainable. We believe that together with nature and society, the JT Group can achieve sustainable growth through our initiatives by connecting capital gains to further value creation. We will strive for such growth not only during the Business Plan I just presented, but also towards the future. This concludes my presentation. I will now hand over to Eddy for details on our Tobacco business.
Eddy Pirard : Thank you, Terabatake-san, and good afternoon to you all. It is my pleasure to present today the 2024 performance review of GT Group's Tobacco business, as well as the outlook for Business Plan 2025. I will focus on the key elements of our 2024 performance, and Furukawa-san will cover the financials in his presentation, later on. I'm delighted to share that the Tobacco business delivered another remarkable performance in 2024, exceeding all revised forecasts across all indicators. The dedication, hard work and resilience of our employees and that of our commercial partners has again propelled us forward. Our clear strategic focus has fueled yet another record level of total volume, in Combustibles and RRP products. This strong volume performance combined with solid pricing drove a high single digit increase in core revenue and adjusted operating profit, driving JT Group's growth algorithm. In RRP, as announced, we increased our investments towards Heated Tobacco Sticks. We scaled up Ploom's global presence to 24 markets and grew share of segments across all of them, driving an impressive 40% increase in HTS volume and 44% in HTS revenue. Our confidence in the future potential of this RRP segment is intact. In Combustibles, which remains the most resilient and populous consumer segment, focused investments in our global flagship brands and continued share gains led to a 2% volume increase. This outstanding performance combined with the solid pricing environment and our focus to drive return on investments in this category fueled a 9% increase in Combustible revenue and an improved operating margin for the category. Another exciting achievement in 2024 was the successful acquisition of Vector Group in the United States, step-changing our footprint in this highly profitable market. Importantly, this acquisition is accretive to AOP and brings incremental benefits in terms of margins and rebalances or currency exposure. Let me elaborate on each of these key drivers of our 2024 performance starting with reduced risk products. The focus and investments in RRP translated into total RRP volume growing 24% and RRP-related revenue increasing by 21% versus 2023. Within these results, HTS volume actually grew by a significant 40%, reaching 8.2 billion units with gains across all clusters. In volume terms, Ploom is now the eighth largest brand within our Tobacco business. This strong volume resulted in HTS revenue growing by 44% last year. Other RRP segments also contributed to our top line growth, notably our leading Nordic Spirit brand in the UK. Turning to other RRP segments, I would like to reconfirm our approach towards E-Vapor and Oral. It is clear that consumer needs continue to evolve rapidly based on individual preferences and the different opportunities provided by each RRP segment, an environment that drives increased multi-category usage. From the very beginning of our RRP journey, we strongly believed that a portfolio strategy was essential to continue growing long-term. And while we prioritized heated tobacco, we continued to explore other RRP segments, to improve our understanding of consumer preferences and expectations, to better grasp the different business model dynamics by segment and ensure we are ready to invest in an optimal manner. Going forward, as highlighted by Terabatake-san in his remarks, we will continue to accelerate investments towards RRP during this Business Plan period. It is worth mentioning that we expect RRP to become accretive to earnings at the latest by 2027. In line with our strategy in reduced risk products, we increased investments towards heated tobacco. Our belief remains that heated tobacco provides the largest profit growth potential among all RRP. In 2024, most of our investments were focused on the geo-expansion of Ploom, building the brand equity and driving consumer adoption. As of December last year, we have successfully launched Ploom in markets, representing close to 75% of the global heated tobacco volume. This achievement is putting us very close to realizing a target announced in February last year of reaching approximately 80% coverage by the end of 2025. Following the 11 additional launches in 2024, Ploom was available in 24 markets, excluding Global Travel Retail where we also expanded. Our launch strategy continues to target meaningful Combustible markets where we have a presence and where consumers' awareness on heated tobacco already exists. As a result, most launches took place in Europe where we have also introduced Ploom in other markets, like Jordan, the Philippines, South Korea, and most recently, Malaysia. This expanded coverage resulted in additional value creation for all markets by strengthening the learning and leveraging consumer feedback. These have also enabled us to fine tune our go-to-market approach at a much faster pace, as well as adjust our commercial engine based on market and consumer preferences. Importantly, in addition to its wider global availability, Ploom has been the fastest growing brand in the heated tobacco segment, fueled by share gains in all launched markets. Let me detail the share performance in some of these markets, starting with Japan, the largest and most mature heated tobacco market globally. In Japan, RRP represented 43% of the total nicotine industry volume, an increase of five percentage points year-on-year. Since the introduction of the X-model family back in July 2021, Ploom’s growth trajectory has been unwavering, gradually closing the gap to the second largest competitor. In the last quarter of 2024, Ploom reached 12.6% of the heated tobacco segment, an impressive gain of 1.7 percentage points year-on-year, which also provides a solid momentum into 2025. Moving on to other markets, where the strong positive consumer response to Ploom was also very visible. As you can see from the slide, all the highlighted markets have delivered significant growth even those launched in 2024. We have seen sizable results in the Czech Republic, Italy, Kazakhstan, Lithuania, Portugal and the UK, where segment share grew between 1.5 times to 2.0 times year-on-year, despite established competition. Even more impressive was the performance in some of the markets launched in 2024, namely Germany, Slovakia and Spain where Ploom’s share of segment almost doubled or more in less than 12 months. This is the result of constant adjustment to our commercial strategy based on learnings gathered across markets. Importantly, as mentioned by Terabatake-san, Ploom’s share of segment across 13 markets, where it has been available for over 12 months, reached 7.8%. To maintain the momentum and close the gap towards our 2028 ambition, we continuously aim to improve the consumer experiences with Ploom. We are highly confident in the quality of our Ploom device and the superior taste profile of our Heated Tobacco Sticks. As a matter of fact, consumers in Japan have recently confirmed this during a blind survey conducted last July in which 54% of consumers preferred the Ploom sensorial taste experience over competing products. We are also comforted by the continued sequential improvement in the metrics between the Ploom models resulted from innovation efforts. Back in May 2023, during our investor meeting, we had shared the improvements between Ploom S 2.0, and Ploom X in Japan. Well, as you can see on the slide, Ploom X Advanced is clearly outperforming Ploom X across various metrics, including exclusive user ratio, consumer satisfaction, or CSAT, and Net Promoter Score, or NPS. In addition to R&D, we also enhance our capabilities in terms of consumer understanding, innovation, digital marketing, consumer care, and harm reduction. We are constantly improving our consumer activation strategy across all launched markets, notably by refining our Ploom commercial engine made of both online and offline programs with a specific emphasis on acquisition and retention. Let’s now turn to our largest and most profitable category, Combustibles. 2024 marked another exceptional performance of our Combustible portfolio, setting a record high volume of 542 billion units, despite a challenging environment in several key markets and the continued industry volume contraction. With volume gains in over 60 markets, Combustibles were up 2%, fueled again by our global flagship brands growing 15 billion units, the sixth consecutive volume increase. GFBs now represent 73% of our total volume driven again by Winston and Camel. Winston volume grew by 4.4%, which increases in over 50 markets, including the key markets of Italy, Romania, Russia, Spain, and Turkey, as well as other markets such as Egypt, Global Travel Retail, Iran, Poland and Portugal. Winston was the fastest growing in market share terms across all footprint, strengthening its position as the second largest international combustible brand. Camel volume was up 7.9%, confirming its position as the third largest international combustible brand. Camel grew volume in over 60 markets, gaining in seven of our nine key markets and in many others like Bangladesh, Brazil, Germany, Global Travel Retail, and Indonesia, just to name a few. JT Group's Combustibles market share grew 0.5 percentage points across our entire footprint, making us the fastest growing in market share terms with gains in over 50 markets. Six of our nine key markets delivered share gains, including Japan, strengthening solid leading positions in Combustible. The most significant performance came from the EMA cluster where our share grew faster than in any other cluster, both for mature and emerging markets. In addition to volume, our top line growth was driven by another record year of pricing, added JPY 197.5 billion of favorable price/mix variance to core revenue. This performance demonstrates once again the resilience of pricing in Combustibles and enabled us to more than compensate the ongoing inflationary pressure due to the macroeconomic and geopolitical environments as well as the continued down trading. Focusing on pricing more specifically, all our key markets supported top-line expansion along with many others, notably Egypt, France, Germany and Indonesia. Importantly, boosted by our strategic focus on improving the return on investment in Combustibles, the operating margin in this category has grown by 1.2 percentage points. This improvement is a combination of focused investments based on clear and simple to understand market archetypes, portfolio optimization initiatives, company-wide increased focus on profitability improvement and benefits generated by the Onetobacco structure which went live in January 2022. The solid pricing in Combustibles and the higher operating margin will strengthen operating cash flows and support our efforts in RRP, benefits which will be enhanced by the successful acquisition of Vector Group. An important achievement of 2024 was the acquisition of Vector Group in the United States. We are incredibly excited by this step-change opportunity. This transaction not only closes a gap in our footprint, but importantly makes us the fourth largest player in the largest and most profitable combustible market outside China. Following this acquisition, the US market will become one of JT Group’s Top 10 profit markets. With its higher gross margin per stick, it fits perfectly our strategy to enhance return on investments in Combustibles. These returns will also contribute to fund some of our global RRP investments and will rebalance our currency profile by increasing the weight of our currencies and improving our natural hedging capabilities. We believe we have the best placed portfolio to address current consumer trends in the growing super value price segment. With Montego NLD leading the way, we intend to optimize our 40% share in the super value segment, which has been growing consistently since 2021 to reach 19% of the total industry volume in the fourth quarter. The new leadership team is in place since January the 1st, capitalizing on the best expertise and experience of both JTI and LVB to drive the business forward. As the team is in process of finalizing the integration plan, I will refrain from sharing more details on the strategy and the expected future contribution. Since we are speaking about the US market, I would like to update you on our partnership with Altria and more specifically on the progress at Horizon, the joint venture established for the launch of Ploom in the USA. The team is making great progress and as previously mentioned, the joint venture is very much on track to file both PMTA and MRTP submissions with the FDA by mid 2025. All in all, the 2024 performance of the Tobacco business was outstanding across the board. Throughout 2025, we will continue to implement our tobacco strategy by growing our presence in HTS and continuing to focus on growth and returns in Combustibles. In RRP, we will continue to drive Ploom share gains in and outside Japan. To do so, we will focus on strengthening our capabilities and the commercial engine in order to win consumers. These efforts will be supported by a strong pipeline of innovations, which is based on consumer insights and experiences gathered across the 24 markets where Ploom is available. For competitive reasons, I won't expand on these innovations today, but I'm confident that these will enable us to win more consumers and deliver on our 2028 ambitions. More to come. In Combustibles, which will remain the profit engine over the Business Plan period, we will continue to drive core revenue growth through share gains, GFB contribution and discipline pricing opportunities. As of today, we have already secured approximately 60% of the planned pricing for 2025. The Combustibles category will also benefit from the full integration of Vector Group, which we know will step change the contribution from the US market. Strategic initiatives to further improve the Combustible's operating margin will continue driving profitability mid to long term. Looking at the solid results these last few years, I am confident in our ability to continue delivering steady top and bottom line growth from Combustibles while gradually building a second profit growth engine with Ploom. Ultimately, our goal remains to sustainably grow currency-neutral AOP at mid to high single digit. Thank you very much for your attention and interest in the Tobacco business. I will now hand over to Furukawa -san for the review of the JT Group financial results and forecast.
Hiromasa Furukawa : Thank you, Eddy. I am Hiromasa Furukawa, CFO of the JT Group. I will detail the consolidated financial results for 2024 under our forecast for 2025. Before I start, just a reminder, that the impact of the Vector Group acquisition is limited to the last three months in 2024, but is fully included in our 2025 forecast. Also, as you are aware, regarding the situation in Canada, the court reserved judgment relative to the pending litigation and will await the decision by March 3rd. Also, the application of Corporate Creditors' Arrangement Act, namely CCWA, is extended to that date and JTI-MacDonald, our local subsidiary in Canada, will continue its business operations as usual. We will keep you updated as soon as possible. First, let me take you through our consolidated financial results for 2024. Revenue and AOP reached record highs, driven by continued strong business momentum, especially in the Tobacco business. On a constant currency basis, AOP which is our primary performance indicator, increased by 7.5% year-on-year, driven by the Tobacco and Processed Food businesses. In the Tobacco business, the strong AOP growth was fueled by robust pricing contribution throughout the year and the incorporation of the three-month contribution from the Vector acquisition. These more than offset the increased investment towards Ploom and the higher input and labor costs due to inflation. Regarding FX, essentially coming from the Tobacco business, impact on AOP was unfavorable due to the depreciation of certain emerging market currencies and the appreciation of cost-related currencies such as US dollar and Swiss franc. Operating profit increased by 3.7% year-on-year, driven by the increase in AOP. Profit decreased by 3.9% year-on-year mainly due to the impact of a change in the applied exchange rate in Iran and higher corporate tax expenses, which more than offset an increase in operating profit. Free cash flow decreased by JPY 273.2 billion year-on-year to JPY 170.5 billion due to payments related to the acquisition of Vector offsetting the increase in AOP. Turning to the dividend for 2024, we plan to pay a dividend of JPY 194 per share, which represents a payout ratio of 74.3%. This reflects our resource allocation and shareholder return policies. As I mentioned at the Third Quarter 2024 earnings briefing, should a loss occur related to the Canadian settlement, we will examine its impact and consider adjusting it from the dividend calculation defined in our shareholder return policy. The following section describes the financial performance of the Tobacco business. Eddy has already explained the details of total volume, so I would like to focus on the AOP performance. The volume contribution to AOP was positive, driven by the 2.4% increase in total volume year-on-year. Please note that the impact from the Vector acquisition was limited since it only included three months of the performance. The pricing contribution was strong across a number of markets, including all key markets, enabling to more than offset the impact of negative product mix, mainly due to down trading in Japan and the Philippines. The solid top line growth enabled us to more than offset the increased investments towards the geo expansion of Ploom and inflation that caused increases in supply chain and labor. This resulted in a 9.7% increase year-on-year in AOP at a constant FX and by 7.9% when excluding the Vector Group acquisition, reflecting a strong underlying business. The foreign exchange impact on AOP was negative, as I alluded to in my explanation of the consolidated results. Next, I will explain the results of the Pharmaceutical and Process Foods business. Starting from the Pharmaceutical business, despite sales growth in the area of skin diseases and allergens at our consolidated subsidiary Torii Pharmaceutical, revenue slightly decreased year-on-year due to the absence of one-time compensation gains from licensed compounds received in 2023. AOP decreased year-on-year due to the absence of one-time compensation gains from licensed compounds received in 2023, as well as higher R&D expenses. Moving onto the Process Food business. Revenue increased by JPY 3.3 billion year-on-year, driven by price revisions as well as sales growth in the seasonings business. AOP increased year-on-year as the increase in revenue exceeded higher raw material costs and SG&A expenses. Let me move to our business forecast for fiscal year 2025. First, I'd like to explain the consolidated financials. Core revenue at constant FX is expected to increase by 6.6% year-on-year, driven by continued robust pricing contribution in the Tobacco business, supported by the full year inclusion of Vector. AOP at constant FX, our primary performance indicator is expected to increase by 8.4% year-on-year, driven by top-line growth in the Tobacco business, which will more than offset higher supply chain cost and indirect expenses such as labor cost, increased investments towards Ploom, as well as lower AOP in the Pharmaceutical business. On the reported basis, core revenue is expected to increase by 3.9% year-on-year, despite the negative FX impact in the Tobacco business. On AOP, the FX impact is forecasted to be negative mainly due to the depreciation of certain emerging market currencies and the impact of cost-related currencies such as a stronger US dollar resulting in an AOP decrease by 2.2% year-on-year on a reported basis. Operating profit is expected to decrease by 3.8% year-on-year due to the AOP decrease and higher cost and adjustment items, including higher amortization cost of trademark rights related to the VGR acquisition. Profit is expected to decrease by 2.9% year-on-year due to decrease in operating profit and higher corporate tax expenses from the absence of a one-time item which occurred in 2024, more than offsetting the lower financial costs. Free cash flow is expected to significantly increase due to the absence of the payments related to the acquisition of Vector, despite the decrease in AOP. The dividend forecast for 2025 is JPY 194 per share, which represents a payout ratio of 76.5%. Dividend per share is based on a resource allocation policy and the shareholder return policy, as well as comprehensively considering various factors, including business performance of the current fiscal year and beyond. In terms of profits on a reported basis, we expect the situation to remain challenging in 2025 due to the significantly adverse FX impact. On the other hand, in 2026 and onward, we are foreseeing positive factors impacting profit in addition to the sustainable profit contribution from combustibles, incremental RRP development and a decrease in amortization of trademark rights related to past acquisitions. We continue to aim for profit growth in the mid to long term. In the following sections, I will explain our forecast by business segment. First, let me explain the volume assumptions for the Tobacco business. Combustibles industry volume is expected to decline in several key markets, including Japan, the Philippines, and Russia. However, we expect the decline will be partially offset by the continued market share gains in Combustibles, the full year inclusion of the Vector volume, and the incremental RRP volume fueled by Ploom’s growth. As a result, total volume is expected to decrease between 1% and 2% year-on-year. Core revenue at constant FX is expected to increase by 6.9% year-on-year, driven by the pricing contribution in combustibles, the full year inclusion of Vector, and higher RRP-related revenue. As Eddy explained earlier, approximately 60% of the pricing contribution in combustibles to be realized in 2025 has been secured already. AOP at constant FX is expected to increase by 8.1% year-on-year, driven by top-line growth and the vector acquisition, more than offsetting higher supply chain costs and indirect expenses such as labor costs due to inflation, and increased investments mainly towards Ploom. While these financials include the full-year inclusion of Vector Group, the underlying business is expected to remain solid. Although the integration plan of Vector is still in the making, we expect Vector will provide an acceleration to financials of approximately four to five percentage point above the organic performance. With regard to the FX, both revenue and AOP are expected to be impacted negatively, mainly due to the depreciation of certain emerging market currencies and the depreciation of cost-related currencies such as US dollar. Next, I will explain the forecast for the Pharmaceutical and Processed Food businesses. Revenue in the Pharmaceutical business is expected to increase year-on-year as the increase in revenue at Torii Pharmaceuticals should exceed the decrease in overseas royalty income. This revenue increase is expected to be more than offset by higher R&D expenses resulting in lower AOP. Moving onto the Processed Food business, revenue is forecast to increase driven by price revisions as well as sales growth in the seasonings segment. AOP is expected to increase driven by the revenue growth more than offsetting increased cost mainly from raw materials. This concludes my presentation. Thank you very much for your attention. I will now pass it back to Terabatake-san for closing remarks.
Masamichi Terabatake: Thank you very much, Furukawa-san. In closing, I would like to take a moment to summarize our key messages today. We have received many positive responses internally and externally regarding the JT Group Purpose announced in 2023, and we believe that we have made good progress in our efforts to realize the Purpose in fiscal year 2024. On the business side, we achieved strong results in 2024 driven by organic growth in the Tobacco business. Pricing and the market share gains in Combustibles as well as RRP sales volume growth, outweighed the supply chain cost increases and RRP investments. By continuing to prioritize business investments, we will achieve strong results. The benefits of these investments are steadily becoming visible and will contribute to sustainable profit growth over the mid to long term. The acquisition of Vector Group is a prime example of this successful approach, and we are confident that this transaction will not only boost our short-term performance, but will contribute to our mid to long-term profit growth. Our resource allocation policy based on the 4S model and the JT Group Purpose remains unchanged under Business Plan 2025 plan period. We will continue to make strategic investments toward HTS to further expand our presence and gradually increase the profit contribution of HTS. At scale, we expect HTS to become another profit growth alongside Combustibles. During the Business Plan 2025, even with the incremental investments, we expect to achieve high-single digit growth of AOP at constant FX, our primary performance indicator. Shareholder returns will also be enhanced by increasing net income through profitable business growth in accordance with our shareholder return policy. Thank you very much for your interest in the JT Group.
Operator: Thank you very much. Now let us move on to Q&A session. And now let me introduce you the speakers who will answer your questions. Masamichi Terabatake, CEO of the JT Group; Hiromasa Furukawa, CFO of the JT Group; Eddy Pirard, CEO of JTI; Vassilis Vovos, CFO of JTI; and Stefan Fitz, CCO of JTI. [Operator Instructions] So now, thank you for waiting. The first question comes from Mizuho Securities, Saji-san. Mr. Saji, please.
Hiroshi Saji : Thank you very much. I have a question to Mr. Terabatake. So with regard to the corporate value or enterprise value, I know that your business has been expanding, smoothly but I gather that the speed may be slowing down a bit. So the acquisition of Vector, I suppose, will bring about additional benefit. And also, I think shifting gear, Ploom X, for sure, you have been reinforcing effort in expanding globally, that is. But I think you are very much affected by the currency. So therefore, the dividend, I think for the dividend payment your share price may be fluctuating, especially the currencies in the emerging market. In fact, that's been remaining to be pretty weak. So although you may be investing, so therefore enterprise value wise, you see, unfortunately, currency is working out to be negative or it is reflected to the negative. So as a person who is responsible for the expansion of the corporate value or the enterprise value, how do you foresee the enhancement or increase of the enterprise value, going forward?
Unidentified Company Representative: Thank you for your question. So the question is the challenges that we face, in light of the expansion of the enterprise value. So Terabatake will be answering to the question but Furukawa may perhaps follow up.
Masamichi Terabatake : So, thank you for your question I find it difficult to answer to your question. However, we do have the target of AOP at FX -- constant FX as a high-single digit that was in ’24 and the plan for ’25 to ’27 high-single digit is our target. So since I have become the CEO, we have been targeting at achieving this high-single digit growth. So we are coming up with a plan in order to achieve these goals or targets of ours. So even if you can achieve at AOP a high-single digit on the net profit basis, because of the currency, especially in the emerging market, we are affected negatively, especially 2024. The negative impact was to the extent of JPY 80 billion or so, at the net income level that was. So that was symbolic of what had happened during this year. So therefore, as to the currency, so the transactional, we would like to procure as much as possible locally, that is, and if there was to be the transactional, we would try to hedge as much as possible. But with regard to our business portfolio, you see it was very much exposed to the emerging market as well. So the rapid recovery is not going to be easy. So the Vector acquisition by hard currency, we would like to generate a profit going forward. So of course, this is why we have acquired it and we would like to reinforce our effort in that regard. With regard to Ploom, we may perhaps answer to your question in other ways at a later stage, but we would like to continue to invest and also to expand the businesses. And we have been investing so far and we should be able to bear the fruit. And this is something that we want to communicate to you. And so 75% plus or minus 5% in terms of payout ratio has been our target. And also at the same time, we have to generate reasonable and also attractive level of net profits. So this is how I want to drive the company forward in the new year as well. So with regard to FX, I'd like to hand over to Furukawa to answer your question.
Hiromasa Furukawa : So this is Furukawa, CFO, and the negative impact that comes from the fluctuation of the different currencies. I suppose that is your question. So as for ourselves, we are rolling out the businesses at the multiple numbers of, of course, countries and thereby we are susceptible to the fluctuation of different currencies. So this is why during the course of the year, making use of derivatives or hedge accounting as much as possible, we are leveraging on those different means and measures so that we will be able to mitigate the positive or negative impact that comes from the fluctuation of different currencies. Having said that though, making use of the derivatives, the mitigation of currency or FX loss from a cost perspective, there could be cases whereby that may not be possible. The derivatives, you know, some of the emergency currency would not allow us to make use of some of the derivatives. They are not available, simply. So therefore, overall, to the currency fluctuation, the resilience needs to be further enhanced. So therefore, from a business, geographic or footprint expansion and also to match the settlement currency being matched against the procurement currency, for example, such as been said by Terabatake, in other word, procuring locally, for example, where we operate our businesses. So it may not be a direct impact as such but we have been perhaps mentioning about the impact that comes from inflation in agile manner and in a flexible manner. Of course in light of the market conditions, we have been trying to take a positive pricing action as well. So and Vector acquisition has been carried out so that we will be able to secure cash flow in hard currency as a result of such acquisition and so that we will be able to enhance this resilience, especially in light of this currency fluctuation that gives impact. But of course the speed may not be fast enough, but this ForEx constant currency, constant AOP as well as net income will be able to connect the two in a more kind of reasonable manner. This is what we are working on.
Hiroshi Saji : So thank you very much. So therefore, geographical diversification for the currency's sake, thank you very much for that.
Operator: And the next question comes from JP Morgan, Fujiwara-san. So, Mr. Fujiwara, please.
Satoshi Fujiwara: Hello, this is Fujiwara of JP Morgan. Thank you. Well, I have a question regarding Tobacco business. High-single digit, the annual growth is the point of my question. Well, Asia, Western Europe and the EMA, you have those three clusters. Well, among those three, the driver is the EMA for profit growth. As a matter of fact, in the EMA cluster, your share is growing. So we'll look at the future. But the potential growth going forward, I just want to know where is the headroom for the growth? And for the Asia and Western Europe, RRP profit is probably going to -- the margin is probably going to improve. In the meantime, though, Combustibles probably is going to be limited in terms of its growth itself. So do you have any outlook by cluster, please?
Unidentified Company Representative: Okay. Thank you very much. So your question is about the growth in the high-single digit, the difference or the gap by clusters. So Stefan and Vassilis are going to take those questions.
Stefan Fitz: Good afternoon. Thank you for the question. As you rightfully said, we have been able to grow our volumes in the EMA cluster in the last year. The EMA cluster consists of a lot of different markets. It's on the one side, the Russia, but also you have Turkey, you have Iran. You have all the Africa. You have the Global Travel Retail and the United States. So we expect further growth in this cluster over the coming years, but very differences according to the different markets. When you look, for example, at the Turkey and then Iran, what we have seen in the last years is a total market growth, which was driven by the fact that the Tobacco products were not fully catching up immediately with the fast moving consumer goods price increase driven by the high inflation. Now that has happened over the last year. So we expect stable to small decline in these two markets. On the other side, you have the Russian market, which was profiting last year also from a total market growth, which was driven by a decrease of illicit trade and that was driven by stronger enforcement by the government. And we are expecting due to a tax increase now in January in Russia, the market to be more stable on a slight decline. On the other hand, you have the Global Travel Retail, which is a growing business because more and more people travel around the world. We have already achieved numbers of travelers which are higher than the pre-COVID numbers. And we see this growing further forward in the coming years. And then we have the United States in there where we just have done the acquisition of Vector Group and we're working on the integration of this. But of course, we see further growth opportunities in the US as well. Thank you.
Vassilis Vovos : Stefan, if I may add to Fujiwara-san's question, which is about where we're going to draw our growth in the future. I think if we look at our track record, we very much see the answer to the question. Already in 2024, despite the fact that the industry volumes declined, the Combustible volumes declined by about 1.5% to 2%, the industry value increased by more than 4% and as you saw in our own results, our own revenue increased by nine plus percent. And sometimes the answer is not only in our strength in served market, which allows us to grow served market and grow volumes this year, but also our strength in pricing. And we already mentioned earlier that this year we have taken pricing in a big number of markets in different clusters. So, of course, EMA is one of the areas where we have taken pricing and we have taken pricing in Russia and also in the Philippines. And even recently, we have announced the pricing in Japan, in Asia. So we have different pricing that happens in Asia and in EMA, but also we have pricing that took place in Europe. And if you look at Europe revenue algorithm, last year, the volumes were down, but the revenue was up. So we are very confident that we can continue taking pricing. As mentioned before, 60% of the pricing for this year is already secured. That's a higher percentage of the percentage we had at the same time last year. So we believe that pricing will be one of the drivers on top of the additional revenue that will come from the Vector business. And, of course, on top of the increasing revenue that will be coming from the RRP and Ploom development. This is the algorithm that will allow us to continue to grow our revenue in the future.
Satoshi Fujiwara: High single digit?
Unidentified Company Representative: The high-single digit, Terabatake is going to build on the answer?
Masamichi Terabatake : Okay, as Vassilis just said, I think what he said is covering the question. Well, when we look at the market portfolio, we are operating the business by looking at the entire portfolio. So by looking at the track record of last year, the whole market is about close to JPY 200 billion contribution of the pricing. And compared to the industry decline in volume, we were able to still grow. But we have a share increase with the momentum of more than 50 plus markets. So the sustainability of that growth and the momentum is something that we are quite confident to continue. So from the year 2025 to 2027, high-single digit is something that we are assuming and then saying. So in addition to the current business, the Ploom performance, the volume increase, and also the improvement is probably going to be coming as the next stage. That is going to be the driver for the top line growth. So the cost increase or the investment growth is going to be outweighed by those increase. That's the business base for the top line site. Well, in addition to that, for the net income for 2026 and 2027, there are some positive points. The trademark amortization cost that we have had in the past is going to be coming late in 2026 and 2027. For Natural American Spirits in 2026 and the [Gerard] blend in 2027, they're going to be just worked upon. So that is going to push up our net income because of the lighter amortization cost. That's going to be a positive side for us. That's all from myself. Thank you.
Operator: Thank you very much, Mr. Fujiwara, for your question. So the next person is Morita-san from Nomura Securities. Over to you.
Unidentified Analyst: I am Morita from Nomura Securities. Thank you for this opportunity. As for myself, I'd like to ask a question about RRP. So in the presentation today, in the next three years, or during the course of the midterm business plan, you have been communicating that there's going to be a new device that is going to be introduced. So is it a reflection of innovation of some sort? Or in the -- I think you have been achieving 10 -- mid-teens or 15% in the markets where you roll out. But with these new devices, you'll be able to achieve higher result than what you currently enjoy? Or do you think this is going to be a piece that is necessary in order for you to achieve mid-teens? And in addition to that, going forward, as for Ploom, so I think you have been communicating to us that the timing has come for you to gain the return on investment on Ploom that you have been making so far. So can we be conscious of the timing to start? In other words, for you to bear the fruit of the investment of Ploom, but the current market share may perhaps not be sufficient enough. Perhaps that's my understanding. So on a mid to long term, do you think that you need to invest much more? So if you could answer to that aspect of the business. So the question just now is with regard to the innovation of RRP. So Eddy is going to be answering to the question with regard to the innovation. And with regard to the return on the investment, Terabatake is going to answer.
Eddy Pirard : Thank you. Thank you very much for the question. I will start answering it, but I think that Stefan will also complement what I will say. You've got good reason to ask about level of confidence. We are very confident in our ability to grow and to keep growing the Ploom franchise. We have discussed this in the past. We started late. We had to redo a bit of soul-searching and good innovation to come up with a device that we felt was a good product that satisfied consumer. And we have, since the early launches of the early generation of products, we have consistently invested in our capabilities to keep improving our understanding of consumer preferences, always with the spirit of consumer centricity. And I think that the early results that we see over the last few years have confirmed that the route that we have taken to sometimes take the time to come up with a device that we felt very proud of and very confident, or satisfying and fulfilling consumer, is starting to pay off. The performance that you've seen in the introduction presentation in Japan is something that we've watched very carefully, we've watched very closely, and we try to take a lot of the learning into the geo-expansion of Ploom around the world. We are pacing our development internationally, trying to constantly take on the learning that we've got in other countries where we have introduced the brand, and we see an ongoing improvement in some of the metrics that we are looking at. Maybe, Stefan, you can talk a little bit about how we think about evolution, or innovation, rather, in the category before passing on to Tera-san. Thank you.
Stefan Fitz: Thank you, Eddy. I think we see continuous innovation in this category, and I would like to draw your attention to the fact that in Japan, when we went from our Ploom X to the Ploom X Advanced device, which was one step further in the innovation, we have seen very, very positive results. Basically, our new Ploom X Advanced device has delivered an improved taste, based on a higher heating temperature. It has delivered other features, like the automatic on feature, but also reduced charging time and the five minutes unlimited puffs. This has immediately shown an improvement in our consumer KPIs, because we also look at consumer KPIs, not only at volume or market share KPIs and if you look at the CSET or at the NPS, at the traffic at the website, at the solo users, that was all increased after we brought our Ploom X Advanced into the market. And it is more than just the device, it is also the whole ecosystem that we have built, which is important for the consumer. You have to start with the consumer at the center first, and then you have to look at the consumer journey, which goes from the awareness of a trial to adoption and the retention. And we are factoring this into our thinking, and we are building activities to address the consumer on all these journey different elements, what he or she is going through. And a very important element is the retention. We are working on different elements, like our Ploom Club, so all of this brings the consumer experience to higher levels. Thank you very much.
Masamichi Terabatake : I hope you can hear my voice. This is Terabatake speaking. So, Morita-san, thank you for your question. With regard to RRP, especially HTS, so JPY 630 billion of investment is to be made, has been announced, and we have invested about JPY 140 billion in the last year. So we are going to be accelerating our investment going forward. That has been the implication, and you may think that it may be necessary for us to be investing more, which is going to be the case. Especially this year, in 2025, that is so far, as of last year, so 75% of HTS market has been covered already. So the market portfolio is rather than expanding the market portfolio, but rather, as we have said, the new device is going to be launched. So we will be focusing very much on this launch of the new device. As to the timing, as to the choice of the market, from a competitive landscape perspective, we won't be able to share very much at this point in time, but we do have a plan. And also, you mentioned about the return on investment. So our target is, by 2028, we want to break even so that we'll be able to improve our P&L, and that has been the message that we have been communicating to the investment community, and we are on track. And with regard to the investment, in the next three years, we're going to be accelerating the speed of investment, and it will be above JPY 200 billion, more than the last year. So that is where we are. Thank you.
Unidentified Analyst: One clarification, please. With regard to the device, before the launch of the device, I should not be perhaps asking the question, but the previously HTS, RRP category, the history has been quite short. So therefore, the new device or new approach, in fact, may perhaps allow you to carry through a game change, or it may perhaps prove to be a game changer. I think that was mentioned by yourself sometime in the past. Have you now changed your mind? But if there was to be any kind of new idea, so innovation, game change, is still possible? Do you think so?
Masamichi Terabatake : Yes, this is Terabatake speaking. Not an acute change or rapid and acute change in share, perhaps, but I think we'll be able to at least accelerate the speed of growth. So it would not, whether we'll be able to launch or start something that could be recognized to be a game changer, I have some questions about that. But the existing customers, especially those who are smoking other companies' products, I think we'll be able to develop something superior so that they may be able to switch out from what they are currently enjoying to ours, so that we'll be able to accelerate the speed of growth. That's our way of thinking. Thank you.
Unidentified Analyst: Okay. I look forward to that, thank you so much.
Unidentified Company Representative: Morita-san, Thank you so much.
Operator: So it’s time, so we can’t -- we are going to finish our Q&A session. So with this, we are going to finish our reporting for the year 2024. Thank you all, for your participation today.